Operator: Welcome to the Xylem Third Quarter 2014 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Phil De Sousa, Vice President of Investor Relations.
Phil De Sousa: Thank you, Lori. Good morning, everyone, and welcome to Xylem's Third Quarter 2014 Earnings Conference Call. With me today are Chief Executive Officer, Patrick Decker; and Chief Financial Officer, Michael Speetzen. They will provide their perspective on Xylem's quarterly results and discuss the full year outlook for 2014. Following our prepared remarks, we will address questions related to the information covered on the call. [Operator Instructions] We anticipate that today's call will last approximately 1 hour. As a reminder, this call and our webcast are accompanied by a slide presentation available in the Investors section of our website at www.xyleminc.com. A replay of today's call will be available until midnight on November 11. Please note the replay number is (404) 537-3406 and the confirmation code is 8125826. Additionally, the call will be available for playback via the Investors section of our website under the heading Presentations. All references today will be on an adjusted basis unless otherwise indicated and non-GAAP financials are reconciled for you in the Appendix section of the presentation. With that said, please turn to Slide 2. We will make some forward-looking statements on today's call, including references to future events or developments that we anticipate will or may occur in the future. These statements are subject to future risks and uncertainties, such as those factors described in Xylem's most recent Annual Report on Form 10-K and in subsequent reports filed with the SEC. Please note that the company undertakes no obligation to update any forward-looking statements publicly to reflect subsequent events or circumstances. Actual events or results could differ materially from those anticipated. Now please turn to Slide 3, and I'll turn the call over to our CEO, Patrick Decker.
Patrick K. Decker: Thanks, Phil, and thank you all for joining us this morning. 2014 continues to be a critical year in the evolution of Xylem and the third quarter results we announced today reflect continued progress on our journey. By now, I hope you've all had a chance to review our press release and other earnings materials. So I'll provide you with some headline thoughts and perspective on the quarter, our progress and a look ahead, so let's get started. Our teams are squarely focused on execution and as a result, we are delivering the fifth consecutive quarter of revenue and earnings growth as well as margin expansion. Our ability, both to accelerate growth and continue to increase the efficiency of our operations is key to our success and ultimately, the key to increasing shareholder value. So let's get into the third quarter performance. Organic revenue growth was 1% while orders increased 8%. As a result, we exited the third quarter with record backlog up 12% versus the prior year. We're continuing to focus on building our longer cycle backlog, which will help extend our visibility and ultimately support a longer term growth profile. I am encouraged by these results but the fact remains that some of our end markets are still challenged and continue to be slow to recover. Furthermore, we are cautiously monitoring economic conditions in key geographic markets particularly in Europe. Operating margin expanded 40 basis points to a record third quarter level of 13.9%. This reflects continued progress on improving execution across Xylem. Just a few more comments on our overall performance. We improved our year-to-date free cash flow by $104 million versus the same period a year ago. On the capital deployment front, we opportunistically repurchased an additional $30 million in common stock. This brings our full year repurchases to $130 million. And in the aggregate, the total return of capital to shareholders via repurchases and dividends increased year-to-date to $201 million, an increase of $94 million over the prior-year period, demonstrating our ongoing commitment to increasing shareholder value through disciplined capital deployment. To wrap up the third quarter results, volume growth and improved operating performance drove earnings per share of $0.53, up 8% over the prior year. On a year-to-date basis, we have generated $1.35 in earnings per share, an increase of 21% versus the same period a year ago. We have delivered a solid performance in the first 9 months of the year. Importantly, our results show that we are moving the company in the right direction, and we remain on track to deliver our 2014 commitments. Now turning to Slide 4. We announced this morning that we are tightening our full year EPS guidance, reflecting both our performance today and our outlook for the fourth quarter. Given recent volatility in the foreign exchange rates, we now expect to generate approximately $3.9 billion in revenues. In terms of operating income, we expect to improve our operating margin to approximately 13% and to deliver earnings per share growth of 15% to 19%. Shortly after I joined Xylem about 7 months ago, I discussed a number of focused areas that we identified as opportunities to improve our operating efficiency and accelerate growth. While there's not time this morning to cover in detail all the work that's underway, I did want to mention a few areas in which we continue to make good progress. All of our teams have been focused on improving execution and specifically, driving productivity for growth. For example, over the past couple of years, our Applied Water division has redoubled its efforts to get cost out of the system and streamline their processes. As a result, they have been able to reinvest some of those savings into R&D and innovation, which has led to new products that are hitting the marketplace now and there's much more to come. We are confident that this will ultimately return that part of our business to better the market growth. Importantly, they're accelerating innovation while continuing to improve their operating performance. In the third quarter, the Applied Water division delivered an all-time high operating margin and that was achieved in an environment of mixed market conditions. Now we are still in the early days of this work, but I am pleased with this measurable progress. We've also discussed the opportunity for Xylem to accelerate growth by integrating our front-end commercial assets and capabilities. In addition to the realignment of our sales organizations, we have also been working to develop a multifaceted IT solution that will better enable commercial excellence across the company. In other words, making it easier for customers to do business with us and for our sales teams to have the right tools to reduce quote preparation time, share customer leads from one business line to another and work within a more standard ERP system. This will enable our sales teams to accelerate growth and will be a fully integrated set of solution that is rolled out globally. Let me touch on 1 component of that work, deployment of a new customer relationship management or CRM platform. Over the last few months, a dedicated team has been designing and programming our new sales and marketing process. They have worked at a fervid pace and as a result, we recently launched our new CRM tool, salesforce.com, in several businesses across our Americas region and Australia. This was an important milestone. CRM allows us to present ourselves to key customers as one company, capitalizing on the unparalleled expertise we possess in multiple verticals, bring greater value to our customers, while growing our own business. This rollout will continue, and we expect to have it fully deployed by the end of 2016 and I do look forward to sharing some successes on this front in the coming months. Finally, we're also continuing to execute our plans to accelerate growth by focusing our resources and efforts in faster growth regions, namely in emerging markets. For the quarter, revenues from emerging markets increased 10% and the team succeeded in winning some larger project bids that are increasing our backlog. We intend to intensify this focus and sharpen our strategy in order to capitalize on attractive opportunities we see in these developing regions. As we look to 2015, China and the Middle East will be the most important areas for us to accelerate further localization of our supply chain and building stronger local capabilities. Other fast-growth markets such as Brazil, India and greater Asia remain important to us, and we will be further assessing specific growth accelerators in those markets as well. I firmly believe that no company is better positioned than Xylem to lead in this industry. Our ability to leverage our global footprint and breadth of solutions and expertise to address our customers' most complex water issues and deliver strong results is unmatched. But we must execute aggressively and continue to evolve our organization and make the most of our global assets and strength of our team. With that, let me turn the call over to our CFO, Mike Speetzen, to walk you through the results and the company's financial position in more detail. Mike?
Michael T. Speetzen: Thanks, Patrick. Please turn to Slide 5. We generated revenue of $963 million, essentially flat to the prior year reflecting both the impacts of our divestiture and unfavorable foreign exchange translation. On an organic basis, revenue was up 1%. From an end market perspective, we saw strength in industrial and commercial, partially offset by declines in public utility and residential. Industrial was up 3% with growth in the U.S. and emerging markets, partially offset by weakness in Europe. As a reminder, Xylem serves a wide variety of industrial customers with applications from both our segments. As for the third quarter specifically, we generated industrial growth in the Water Infrastructure segment and had flat performance in Applied Water. I'll cover both of these in more detail in the next 2 slides. In commercial, strong markets across all regions helped us drive 6% growth in the quarter. Europe was exceptionally strong, up double digits with growth primarily attributable to the successful launch of new products. In the U.S, leading indicators have been generally positive for several quarters, and we are starting to see the impact of that recovery in our business. Wrapping up in commercial, we continue to see strong performance out of the emerging markets particularly in regions such as the Middle East and Asia and Latin America, where each delivered double-digit growth. Revenue from the public utility end market was down 3%, slightly below our expectations. The year-over-year decline primarily reflects the continuation of a soft CapEx order environment in developed regions that we experienced last year and during the first half of 2014. It's important to note that our order trends in this market have generally improved in recent quarters. We are seeing some positive signs in our long-term backlog, suggesting that the market has stabilized. OpEx activity remains stable with growth in both the U.S. and Europe. I'll cover up more specifics by segment but overall, we saw strong revenue growth from emerging markets, up 10% and modest growth in the U.S, up 4%, partially offset by a 6% decline in Europe. Operating income of $134 million, was up $4 million or 3% over last year. As Patrick mentioned, despite modest top line growth, we delivered a record third quarter operating margin of 13.9%, up 40 basis points. We continue to deliver strong segment performance as margins expanded 110 basis points to 15.6%. This was partially offset by higher corporate expense. Corporate expense was $16 million reflecting a normal quarterly spend rate. Cost reductions totaled $46 million and included approximately $10 million of restructuring savings with the balance coming from sourcing and lean initiatives. Partially offsetting these tailwinds, was inflation of approximately 270 basis points and unfavorable price and mix in our Water Infrastructure segment. Wrapping up on the consolidated results, organic growth and solid operational performance coupled with strong execution against our cost-reduction initiatives resulted in EPS of $0.53, up 8% versus the prior year. Core operations drove the year-over-year EPS improvement contributing $0.03. Growth includes $0.04 of restructuring savings, as well as $0.03 of year-over-year corporate expense headwind. And finally, lower share count contributed a benefit of $0.01 in the quarter. Now let me provide more details for each of our reporting segments. Please turn to Slide 6. Water Infrastructure reported revenue of $619 million, up 1% on an organic basis. Regionally, we saw the most significant growth come from emerging markets, which were up 13%. U.S. revenue increased 7% but Europe declined 7% overall. I further summarize our revenue performance as follows: Test applications were up 4%, posting growth for the fourth consecutive quarter. I'll note that based on performance to date and expected growth on fourth quarter, this platform is on track to achieve record full year top line performance; transport was up 3% overall with noteworthy regional differences. In the U.S. we continue to see strong performance in industrial transport applications, including mid-teens growth in dewatering; in Europe, the business was down low single digits primarily due to lower book-and-bill activity in France and the ramp down of the AMP5 cycle in the U.K. Finally, treatment revenue was down 15%. This decline reflects the lower deliverable project backlog in the U.S. and Europe that we had entering the quarter, and the timing of projects in emerging markets. While we delivered minimal revenue growth overall, perhaps a more important result was our strong orders performance. For the third quarter, we booked orders of $680 million, up $63 million or 10% year-over-year and 11% on an organic basis. During the fourth quarter, Water Infrastructure has a total backlog of $656 million. Of this amount, $380 million is scheduled to deliver in the fourth quarter, an increase of $27 million or 8% relative to a year ago. The balance is scheduled to be delivered in 2015 and beyond. For the third quarter, we're reporting operating income of $97 million and operating margin of 15.7%. Performance was driven by the increase in organic volume and savings from cost reductions, which totaled $29 million, including approximately $7 million in restructuring savings with the balance coming from sourcing and lean initiatives. Partially offsetting these tailwinds was inflation of approximately 3% as well as unfavorable price and mix. Let me now turn into Slide #7 to address our Applied Water segment. We delivered revenue of $362 million, up 1% year-over-year. Regionally, we saw growth come from the U.S. and emerging markets, which were both up 2% overall. Europe, however declined 1%. By application, building services grew 2% and industrial water was flat. Irrigation, which represents less than 10% of Applied Water revenue, was down 2%. I further summarize our revenue performance as follows: In the U.S, we generated broad based growth across both commercial and industrial water applications. Our emerging market performance was driven by mid-teens growth in China and was partially offset by weakness in Eastern Europe and Latin America. As I mentioned, Europe was down overall as weakness in residential and general industrial markets was partially offset by strength in commercial. Operating margin expanded 240 basis points to 14.6% year-over-year, a record level for this segment. Cost savings from sourcing and Lean Six Sigma and to a lesser extent restructuring, increased margins by 440 basis points and more than offset inflation. We also saw a positive lift from volume and price. Now let's turn to Slide 8 to cover the company's financial position. Xylem maintains a strong cash position with a balance of $529 million at the end of Q3, with approximately 90% held outside of the U.S. We remain committed to our balanced capital deployment strategy, which is to maintain and grow the business while also enhancing shareholder return through dividends and share repurchases. Over the last 3 quarters, we invested $77 million into capital expenditures and we returned $201 million to shareholders. This includes the 10% increase in dividend per share and $130 million under our share repurchase program. We also generated $176 million of free cash flow, largely reflecting higher income and lower CapEx spends. Relative to the prior year, our free cash flow performance improved by $104 million, with free cash flow conversion increasing to 77% from 45% last year. Please turn to Slide 9, and I'll turn it back over to Patrick to cover our 2014 guidance.
Patrick K. Decker: Thanks, Mike. So let's start with the top line. We anticipate 2014 revenue of approximately $3.9 billion, which reflects organic growth of 2% to 3%. For Water Infrastructure, we expect organic revenue growth of 3% to 4%. And for Applied Water, revenues will likely be flat to up 1% organically. I'll remind everyone that the revenue range already reflects the reduction in revenue attributable to the U.K. Valves business we divested and now also reflects approximately $30 million of unfavorable foreign exchange translation that we expect to impact our fourth quarter results. Segment margins are anticipated to be in the range of 14.3% to 14.6% and operating margins are projected to be in the range of 12.9% to 13.2%. We are pleased with the execution of our broad-based restructuring actions this year from which we expect to achieve savings of $17 million. This adds to the carryover savings of $25 million from actions executed in 2013 and brings our total savings to $42 million. Excluded from our overall results is 2014 restructuring and realignment cost of approximately $40 million to $50 million, $11 million gain on sale of our U.K. Valves business and special tax items. So overall, we now anticipate delivering earnings per share of $1.92 to $1.98 and I would highlight that our mid-point guidance remains unchanged at $1.95. Mike is going to walk you through the full year and fourth quarter details in a few minutes but first, let me provide some additional highlights around our end market outlooks. Please turn to Slide 10. This slide summarizes our expected 2014 organic revenue performance by end market. Beginning with industrial, our largest end market representing 45% of total revenues, through the first 9 months, organic revenue was up 3%, slightly better-than-expected driven by strength in the U.S. and emerging markets. For the full year, we expect revenues to come in toward the high end of a 1% to 3% range. This assumes continued growth in the U.S. and emerging markets and that conditions in Europe do not deteriorate further. Public Utility at 34% of total revenue is our second largest end market. Through the first 9 months, organic revenue grew 3%, reflecting strong emerging market performance and stable maintenance of repair activity in the U.S. and Europe. While we do expect some organic growth in the fourth quarter, there is potential risk for delays in some project schedule to ship before year end. With that said, we have adjusted our full year expectation for Public Utilities to 1% to 3% from our previous outlook of 2% to 5%. 1 final note on Public Utilities. Given the positive third quarter order performance and the current view on our project pipelines, we remain positive on this sector in 2015. Moving to commercial, which represents approximately 11% of our revenue, we are maintaining our full year outlook, which calls for flat performance year-over-year. In addition to the flat year-to-date performance, this outlook reflects growth from new product launches and an improving outlook for our U.S. business offset by weakness in Europe. There is also no change to our residential market outlook. We continue to expect low single-digit growth, driven by the U.S. housing recovery, partially offset by continued weakness in Southern Europe. And lastly, at just 3% of our business, we expect full year agricultural revenues to be flat year-over-year. So the takeaway here is that we continue to see mixed market conditions particularly by region. U.S. non-res markets have shown signs of improvement. Public Utility OpEx remains generally stable and the CapEx environment appears to be incrementally better. We are, of course, closely monitoring Europe. So please turn to Slide 11, and I'll turn it back to Mike to cover some additional details on the guidance.
Michael T. Speetzen: I'd like want to spend a minute calibrating on the evolution of our full year guidance. In February, we issued a guidance range of $1.85 to $2.00 with a mid-point of $1.93. This past July, we raised the low end of our guidance by $0.05 and the related mid-point by $0.02 to $1.95 reflecting strong first half performance, slightly offset by the divestiture impact of the U.K. Valves business. Given the significant decline in the euro, we are taking into consideration a $0.01 headwind for foreign exchange translation on the third quarter and a $0.03 headwind from foreign exchange translation in the fourth quarter. Despite this headwind, we are maintaining our midpoint guidance essentially offsetting the negative impact from foreign exchange with additional productivity. Now let's talk about the fourth quarter. We expect revenue of slightly more than $1 billion, with organic growth in the range of 1% to 4%. Let me cover some of the key assumptions we have made relative to our revenue projection. We have assumed the U.S. dollar to euro foreign exchange rate of $1.27. We expect low single-digit organic growth in the U.S, down low single digits to flat performance in Europe and emerging market growth of more than 10%. We entered the quarter with a total of $504 million of shippable backlog, which represents approximately 49% of our expected fourth quarter revenue. This highlights the fact that we still have a fair amount of book in term business to deliver in the quarter. There are 2 other items I'd highlight with respect to our guidance. First, fourth quarter operating tax rate is expected to be approximately 21%. And second, fully diluted share count is expected to be approximately $183 million. With that said, please turn to Slide 12 and let me hand the call back over to Patrick for some final comments. Patrick?
Patrick K. Decker: Thanks again, Mike. I'm pleased with our results this quarter and encouraged by our continued progress. Solid execution has us on track to deliver on our financial commitments for the year which includes generating record revenue and earnings per share. At the same time, we continue to focus on building those important capabilities that will enable us to extend our track record, deliver sustainable growth and increase shareholder value. Despite a year of tremendous change at Xylem, our teams have remained focused on the future, identifying ways to work more efficiently and more collaboratively to leverage our full suite of products and services to our customers. This work will continue and I firmly believe that will elevate our performance across Xylem and will help us to build our position as the global leader in water. Operator, we can now begin the Q&A session.
Operator: [Operator Instructions] Your first question comes from the line of Ryan Connors with Janney Montgomery Scott.
Ryan M. Connors - Janney Montgomery Scott LLC, Research Division: I wanted to talk a little bit about the pricing environment. It wasn't something that you covered in that prepared remarks there, but I know that's been a headwind recently, seems to be stabilizing a bit, especially in Applied Water, but if you can just talk to us about kind of the pricing dynamics.
Patrick K. Decker: Yes, Ryan, let me at least cover some of the financial implications. In the third quarter, we saw about 10 basis points, which is pretty similar to what we saw in the second quarter. In a way I characterize it is Water Infrastructure continues to see price pressure in the neighborhood of about 40 basis points negative year-over-year. Applied Water, we've continued to see positive progress. They are reflecting about half a point worth of positive pricing. I think many of the dynamics that we've talked about in the past are still there and I think they were evidenced by many of our peers who reported that sales are still not at the levels that they have been historically, which means that we've got excess capacity and that's putting significant price pressure across the marketplace, as we see it today.
Michael T. Speetzen: And I would only add, Ryan, that I think it speaks to what we saw in Applied Water and I think we're going to see it elsewhere, is all the more reason is critical that we continue to ramp up our new product development pipeline. We've brought a number of things to market. We've got a number of things in the pipeline but anytime you're able to do that, it gives you something new to talk about, it gives you a competitive differentiation and is very helpful on the pricing side.
Ryan M. Connors - Janney Montgomery Scott LLC, Research Division: I guess the related follow-up would be as you look at this nice order growth you had in the quarter, are we to assume that those orders reflect the kind of price dynamics you just mentioned, Mike, pressure in the Water Infrastructure side and some positive -- modest positive momentum in that order boards on the Applied Water side?
Michael T. Speetzen: Yes, I mean, think in general, those will be the general characteristics that we would see and as we indicated, the order growth is predominantly in the Water Infrastructure segment. It's not only the core pumping business, for example, but we're also booking more of the project business which is a more difficult one to give you commentary on the pricing side because each one of those tend to be unique in nature.
Patrick K. Decker: And I think it's important to call out, Ryan, that of the 8% organic orders growth that we had in the quarter, roughly 3% of that was from a couple of the big projects that we announced in the emerging markets over the course of the quarter.
Operator: Your next question comes from the line of Mike Halloran of Robert W. Baird.
Michael Halloran - Robert W. Baird & Co. Incorporated, Research Division: So could we just talk about a little bit about what your visibility of the 2015 is right now? Obviously, you made some positive commentary on the 2015 environment for your Public Utility side. Maybe if you could just take us a little deeper look on what you're seeing from a customer base at the end of next year? What the commentary looks like and what gives you confidence in that public Utility side?
Patrick K. Decker: Sure, right. Let me open with a few comments here and then Mike can kind of walk you through specifically what we do know about '15. I mean, I'd say, first of all, it is tough in this environment to assume or make any specific predictions at this stage. Obviously, with the typical kind of slowdown in Europe in the third quarter, it's tough to kind of draw a read in Q3. It's really from September and October and as we close out Q4, so how we close out Q4 is going to play a much bigger part in how we determine or formulate our views around '15. I would say that we are certainly planning from an internal standpoint around a low growth environment, really want to make sure we keep our teams focused on driving the productivity for growth and the cost efficiencies. We do see some mixed bright spots that are out there. Certainly, the growing backlog that we've seen, some of the longer cycle projects that we brought into the pipeline are encouraging but I say it's too early to tell right now in terms giving you read on '15.
Michael T. Speetzen: Mike, and I gave you some of the specifics where we do at least have a beat on both headwinds and tailwinds as we head into next year. I think given where the foreign exchange rates are, and I'll use the euro because it's our biggest exposure. If it's at about $1.27, we think that's going to be about a $40 million top line headwind and pose about an $0.08 EPS headwind. The reason being is we have an awful lot of profit held in the euro currency that goes through our Switzerland headquarters over in Europe. Pension, we anticipate a couple of cents worth of headwind and that's anticipating what the discount rate could be, as well some of the mortality tables that have been updated. But the good news is we have carryover restructuring savings. So the actions that we've initiated in 2014, we're picking up some of that benefit that Patrick spoke to in his prepared remarks. We should pick up about an incremental $20 million worth of savings in the first half of next year.
Michael Halloran - Robert W. Baird & Co. Incorporated, Research Division: That's very helpful. And then the follow-up is, if you look at the Applied Water margins, can you just talk about the sustainability of those levels whether or not there was any stocking benefits you guys saw from the new product launches and what the right run rate on a forward basis looks like?
Michael T. Speetzen: Yes, I'd say there's certainly would have been a little bit of a stocking benefit but not enough to really move the needle. I'd say we certainly do feel that the margins in that business are sustainable. I mean when you think about the fact that the team has achieved that level of improvement despite being in a no growth environment and in some cases, actually facing headwinds, that is a business that also levers nicely whenever we see some topline growth. I actually think with the new product introduction that we're bringing onto the market right now, that's going to return us to growth in that business and I think you'll see some nice leverage fall through. So we'd expect to continue to see margin expansion in that business as we return to growth.
Operator: Our next question comes from the line of Nathan Jones of Stifel.
Nathan Jones - Stifel, Nicolaus & Company, Incorporated, Research Division: When we were down at WEFTEC this year, we heard some pretty positive outlooks from people there on the project side in the U.S. Can you talk about what you're seeing in that market and maybe a little bit about globally as well?
Patrick K. Decker: Yes, Nathan, I think we're seeing that show up in our results and I'll give you just a bit of a preview around our Americas region. We saw positive orders growth. In fact, they were one of the largest components of the 8% that we saw within the quarter. The treatment business, specifically, was up, call it in the low 20s, and that's, I think, indicative of the commentary that we've given in the past, which is we've seen that market has significant headwinds over the past couple of years. This year that dynamic appears to be changing. I think for us the question is how much is dealing with pent-up project demand versus new growth and projects coming online. I think that's the piece that continues to be in the forward look that we have. But overall, I think it's a big part of why overall, we remain positive on that sector.
Nathan Jones - Stifel, Nicolaus & Company, Incorporated, Research Division: Just focusing in on treatment there. Obviously, some pretty negative revenue comps in this quarter, which is from weak orders historically. When do we lap that and start seeing growth based on what's already in your backlog?
Patrick K. Decker: Yes, I would anticipate us -- there'll be some lapping as we get into the first half of next year. But if you think about the nature and the timing of these projects, these can be anywhere from 12 to 18 months. So it will be more of the second half of 2015 is what I would anticipate. We obviously still have a lot of work to do to build the details up. We're in the middle of our planning process right now, so we'll provide more perspective on some of those linearity details when we provide guidance in February.
Michael T. Speetzen: And the good news on this, Nathan is that in a number of cases, part of the reason for the revenue decline was push out of projects. So the projects haven't gone away. It's just the timing has shifted to the right. So that should help us as we get into '15 as well.
Nathan Jones - Stifel, Nicolaus & Company, Incorporated, Research Division: And just a follow up on Europe. Down 6% in this quarter, outlook for down low single digits in the fourth quarter. What you see is the risk there to actually just achieving that low single-digit rate with what we're seeing in Europe at the moment?
Michael T. Speetzen: Yes, I mean, Nathan, if I look at what we had in the third quarter, the 6% down, there was a good portion of that, that related to projects that's pushed out of third quarter into fourth quarter and into first quarter of 2015. So we've got a pretty good idea of what the book-to-bill rates are. The backlog levels as we go into the fourth quarter support the range that we've given and we are anticipating that we will have a little bit of weakness in our book-to-bill business. What I can tell you is that we have been monitoring our results, obviously, on a weekly basis. October is lining up consistent with the assumptions that we have built into the guidance. So we haven't seen anything at this point that tells us anything different is going to materialize.
Operator: Your next question comes from the line of James Giannakouros of Oppenheimer.
James Giannakouros - Oppenheimer & Co. Inc., Research Division: Seems like you're a little bit ahead of plan as far as gaining traction on your cost take out or your better efficiencies versus your plan entering the year. Can you -- if I'm correct, can you kind of highlight where exactly you're, I guess, accelerating or the sources of that incremental margin benefit versus where we were anticipating the kind of cadence for 2014 or earlier in the year?
Michael T. Speetzen: Yes, I mean, there were few things that we did, Jim. One is we've obviously, taken the restructuring savings up. That is a direct reflection of the fact that given some of the weakness we saw earlier in the year, the teams move out more aggressively to make sure we were getting the actions in and picking up additional benefits. I would say that we continue to have a hard-pressed around areas like Lean Six Sigma and our global sourcing as areas of opportunities and that continues to play well for us, as the teams are working hard, given some of the ambiguity we've had in the top line and some of the jitters we've heard in the market. That's been the appropriate action response from the team. So we're seeing a lot of that play through.
James Giannakouros - Oppenheimer & Co. Inc., Research Division: That's helpful. And as far as M&A if you can give -- give us an update on how your pipeline is looking, valuation in the -- in your targeted areas and I guess, a timing update as we enter 2015 just a couple of months from now.
Patrick K. Decker: Yes, I would say that first of all, we continue to cultivate the pipeline. I mean, we certainly lifted the pause on M&A so certainly, the last few months, after my arrival, the teams have been fervid about developing that pipeline again. The good news is these are all targets that we had in the pipeline for a while that we've stayed close to, so the pause didn't hurt us there at all. We do expect to be active in 2015. Of course, the timing is less predictable in terms of when we would actually be able to pull off. We've said before and I would stand behind that, that we will be looking to target about 2% to 3% of our total revenue in terms of size of acquisitions. That's our target. We continue to actively cultivate that. The acquisitions that we would do through '15 would likely be bolt on, kind of close to the core and then really begin focusing on developing that pipeline into '16 on some of the larger scale, maybe adjacency type of acquisitions.
Operator: Your next question comes from the line of Kevin Maczka of BB&T Capital market.
Kevin R. Maczka - BB&T Capital Markets, Research Division: Question on your comments about ramping in China and the Middle East. I'm wondering if you can say a little bit more there about what kind of investments you'll have to make to make that happen. How much you think that can move the needle for you and if you can give us any sense of timing on when we might start to see some of that?
Patrick K. Decker: Sure. Let me start by saying that even with the intensified focus on China and the Middle East, we certainly would not be looking to go outside of our CapEx range of between, say, $120 million, $130 million per year. So we've got opportunities by way of which we've kind of reprioritized our deployment of capital internally. Doing it much more as the one company approach as opposed to a collection of businesses and that's spurring up some capital to put behind some of these more focused plays like a China and the Middle East. In terms of the type of actions that we are already working on and putting in place and that will continue through '15, is a heavy focus on further localization of things like product design, our R&D capabilities locally, building out key account management capabilities. We've got some great relationships with customer there already that as we began to really market to them the full portfolio of capabilities that we've got beyond just the Flygt pump as an example. They're really driving a lot of demand for that. But in many cases, we don't have the localization requirements to be able to meet that. So it's really going to be a more a matter of investment of management time and attention than it is financial capital, per se itself. In terms of when we expect to begin seeing real benefits from that, I mean obviously, we're already growing nicely in these markets, but we're going to be setting a much more aggressive, ambitious kind of target for ourselves relative to market growth in those areas, and I would certainly expect to see the benefit of that begin to come through in late '15, into '16.
Kevin R. Maczka - BB&T Capital Markets, Research Division: Okay. And just a follow-up, you also mentioned I think more of a general comment about rebalancing the portfolio in new product introductions. Can you just say a little bit more there, how much more aggressive are you getting there because that's been part of your initiative for some time.
Patrick K. Decker: Yes, see so we spend today anywhere between 2.5% to 3% of our total revenue on R&D and I don't envision that in the near-term, that number necessarily changes very dramatically. Obviously, over time, here you heard us talk about productivity for growth mindset, which is all about how we do get at the next 200 to 300 basis points of revenue of cost out of the system, so that we got the flexibility where we need to, to put that money back into innovation technology, system development, et cetera, but that's going to be over a multiyear time frame. In the immediate term, it's really been a matter of reprioritizing where the teams are investing their R&D dollars. We do believe with a heavier focus on emerging market growth as well and building local capabilities in the design standpoint. We'll actually get more bang for the buck in terms of every dollar that we spend and obviously as we grow the top line, by definition even holding our percentage constant in terms of R&D, is going to put more absolute dollars of investment into the system. The last thing I would say on that is one of the capabilities that we are focusing on building right now that we don't have consistently across the company is what we call industry vertical marketing capability, where we sit with our customers and really understand the full suite of what their water challenges are and then map that against what our current offering is and then fill those gaps either with new product development, could be business model innovation but it can also inform our M&A pipeline in terms of where we want to fill the gap.
Operator: Our next question comes from the line of Chip Moore of Canaccord.
Chip Moore - Canaccord Genuity, Research Division: Another nice quarter for the dewatering business mid-teens. Can you just walk us through where you're seeing pockets of strength there?
Michael T. Speetzen: Overall, the business was up kind of mid-single digits. The U.S. is where we saw the significant performance in the teens. And it was really related to oil and gas. I mean all the underlying markets seemed to be doing well with the exception of the mining market, which is down kind of low single digits. But the oil and gas area has continued to be robust for us as we've expanded throughout the U.S. and that's really been the driver of the growth.
Chip Moore - Canaccord Genuity, Research Division: And just as a follow-up, maybe you could talk about oil and gas exposures for the company as a whole, with crude coming down. Are you seeing any impacts there?
Michael T. Speetzen: At this point time, no. We've got about $200 million to $250 million of exposure and it's relatively broad and I would say on the natural gas side, that's where we've seen probably the biggest pickup, but even of the crude side, we haven't heard much in terms of pullbacks. So things have held relatively stable there.
Operator: Our next question comes from the line of David Rose of Wedbush Securities.
David L. Rose - Wedbush Securities Inc., Research Division: A couple of -- on the SG&A side, can you provide us a little bit of color in some of the headwinds you may have faced from the CRM and some of the other initiatives? I mean, you had great cost control but what were some of the offsets?
Michael T. Speetzen: Yes, I mean, couple of things, David. I mean, we're down year-to-date $32 million from where we were last year, almost couple of hundred basis points and it's been primarily around the G&A side where we've gone from being kind of mid-9% down to under 9%. The continue focus for us, is we try and drive the efficiency in the business, obviously, some of that's coming from the leverage of the top line and the balance is really coming from some of actions that we've taken. As it relates to the quarter, I would say that we saw a more typical corporate level spend. I assume that's kind of what's underneath the question that you have. There's really 2 dynamics there. One, if you remember last year, third quarter we were coming off of a pretty bad performance in the second quarter and so we had taken a significant number of actions to defer cost initiatives within corporate. Then you have on the other side of that, this year we had deferred things out of the first half. If you remember some of our commentary around concerns over the weakness we've seen in January and February related to the weather and we essentially green lit a number of those initiatives. So CRM a prime example. It's not a significant amount of outlay. You're talking about something that's in the $1 million, $1.5 million range, but in totality, we were essentially moving forward given that we've gotten more comfortable with the top line environment.
Patrick K. Decker: And I would just add to that, I mean, I think, as I look at where we are as a company, an organization right now, there's clearly an opportunity to continue to drive business simplification and drive operating efficiency and that same approach is going to be applied to our corporate cost. Now as we standardize certain things, integrate certain things, ERPs, et cetera, you may see some cost shift around between the segments and corporate but the goal is to reduce SG&A further overall as a company. I would also say that when I look at the capabilities as a company that we need to augment, ISS opportunities like simplification where we are going to be organizing differently here in the very near future where we'll be organizing our global sourcing and our lean deployment differently to drive better standardization across the company. Second of all, I talked about the need to improve our Xylem wide focus on innovation, really increasing our focus on disruptive technologies as well as better coordination amongst all of our different businesses, so we would be organizing differently around that. And then third, as I mentioned earlier, we need to do a better job of getting voice to the customer and really augmenting our capabilities around certain key industry verticals and so there will be some moves we're making on that front as well. All of those together in my view will be with the spirit of driving and approach as 1 company and drive operating efficiency and growth.
David L. Rose - Wedbush Securities Inc., Research Division: Okay, that's helpful. And then one follow-up, if I may, on the inflation front. It seems relatively high versus what we're seeing on a global basis and maybe you can provide some color on where you're seeing the inflation?
Michael T. Speetzen: Yes, I mean, there's couple of things, David. One is you have to remember that we have the pay increases included, so we're not including just the material inflation, we're including labor inflation in that calculation, as well. And I would say that there are pockets where we're definitely seeing a reduction and we've seen inflation coming down. We're now sitting around 2.7%, 2.8%. I can't point to any specific item. I'd say things have, for the most part stabilized. We're not seeing any significant movements up or down at this point. And as we look forward into next year, we think the levels are going to be pretty consistent with what we're seeing today.
David L. Rose - Wedbush Securities Inc., Research Division: So when do you start to lap the labor inflation?
Michael T. Speetzen: Well, we continue to give increases every year. So you've got third quarter -- I'm sorry, first quarter of lapping, but you're essentially lapping what you've done in terms of pay raises that go effective at the end of the quarter.
David L. Rose - Wedbush Securities Inc., Research Division: I mean, so there isn't really any from your perspective a catch-up that you implemented early on, I mean you're just going along?
Michael T. Speetzen: No this is just typical merit increases that we do each year.
Operator: Our next question comes from the line of Brian Konigsberg of Vertical Partners.
Brian Konigsberg - Vertical Research Partners, LLC: Mike, actually the first one for you, actually just going back to FX. I was surprised as far as the impact you noted for 2015, $40 million of revenue and $0.08 of profit. I know you mentioned something about that, so little -- maybe a little bit color on that. I mean the $0.08 hit on $40 million of revenue, it's almost like a 40% margin fall through on that. It just seems extraordinarily high. I don't sense that we had that type of dynamic in the past. Is that new and is there something kind of changing the sensitivity to FX? Or is it -- maybe just touch on that a little bit more.
Michael T. Speetzen: Yes. Well, we definitely saw it play out in the third quarter and we anticipate it in the fourth quarter and the commentary around next year, again, using the euro is a proxy because we obviously want to see how rates settle out and bake that into the final guidance that we'll provide in February. But the long story short is as we've discussed in the past, given the structure that we have in Europe, there's a significant amount of our profit that goes through Switzerland and that is a euro-denominated functional currency. So when we translate that profit back, it is at about a 40%, 45% drop rate. So on that $40 million worth of revenue, again, assuming about $1.27 U.S. dollar to euro exchange rate, that's going to convert over and give you about $0.07 to $0.08 headwind from an EPS standpoint.
Brian Konigsberg - Vertical Research Partners, LLC: And there's nothing to suggest that -- that's the same on both sides of the coin, correct? I mean -- either way, it's not that sensitive. If we see a strengthening of the euro, it's going to work the same way the other way. I just want to make sure.
Patrick K. Decker: Yes. Absolutely.
Michael T. Speetzen: Absolutely.
Brian Konigsberg - Vertical Research Partners, LLC: Okay. The other question I had was -- actually just around just more cost savings. So you're expecting another $20 million to carry over into '15. Maybe just talk about where you think we are, how much more low hanging of fruit exist if you want to put in innings, type of analogy, but how much more obvious restructuring is there to do versus just kind of growing the business and getting savings through leverage?
Michael T. Speetzen: Yes, I would say that the analogy of low-hanging fruit, I wouldn't suggest it's low hanging. So I think everything we do at this point in time is going to be have to be strategic around where we look to drive efficiency, redeployment of capital and cost, and so that's really the work that we're doing right now as we finalize our plans around 2015 is what more is out there for us to get in '15 and even in '16 and '17. So I would say -- I would characterize it that we are in the middle innings at this point. I think the teams have done a good job of executing the restructuring over the last year and a half. As I mentioned earlier, I do believe that there's another couple of - few hundred basis points of cost as a percentage of revenue that could be taken out of the system over time. But again, that's going to be a multiyear journey. I think you'll see some steady progress against that in '15 and '16. But again, we'll have more to say on that in the February earnings call.
Brian Konigsberg - Vertical Research Partners, LLC: But just to be clear, I mean, that couple of hundred basis points, is that going to be driven by additional restructuring or is this going to be top line leverage to get there?
Michael T. Speetzen: It's going to be a combination of the 2.
Operator: Your next question comes from the line of Joe Giordano of Cowen.
Joseph Giordano - Cowen and Company, LLC, Research Division: Just wanted to talk about orders a little bit. So second consecutive quarter over $1 billion. That's a nice number. We've seen some big orders out of emerging markets in the last couple. So just wanted to get your sense on the sustainability of that kind of run rate in terms of orders and outside of those big project wins, kind of where have you seen the geographic breakdown of the remaining orders?
Patrick K. Decker: Yes, let me maybe touch on the geographic breakdown first. Definitely the emerging markets continue to be strong for us, places like China and greater Asia, specifically as we've seen continued project wins and those bookings have maintained robust. I would say that in the Americas per some of the comments that I made earlier, we've seen strength pretty much across all of our water infrastructure lines, primarily around treatment, so obviously a good indicator of some of the project activity and things starting to at least stabilize and pick up going into next year. Europe has been a bit mixed. The transport side of our business was positive in the third quarter. The other elements were essentially flat to down. And I'd say that's going to be the area that we're going to be spending a lot of time and making sure that we're keeping an eye on. The other areas seem to be holding up well and at this stage we think that the way we've got the teams aligned, the opportunities, the project funnel that are out there, they're getting a bite at all the appropriate opportunities.
Michael T. Speetzen: I would only add that when you look at our emerging market revenue today, roughly 20% of our revenue comes in the emerging markets and what I would say is that's obviously, a great area of opportunity for us. You've heard us talk quite a bit about. I would caution as you saw in the quarter that these larger projects that come through can be lumpy, in terms of timing. And we'll certainly do the best possible way that we can to make sure that we're keeping it clear and clean for you, so you understand what the base business is versus the larger project wins.
Joseph Giordano - Cowen and Company, LLC, Research Division: Great. So emerging markets about 20% of revenue. I'm assuming that they've been carrying bigger weight over the last couple in terms of orders, right?
Michael T. Speetzen: I mean, look the Americas were up double digits in the Water Infrastructure segment in the third quarter. So we certainly have seen in some of the developed regions. That said, emerging markets have been very strong for us.
Operator: Our next question comes from the line of Jim Krapfel of Morningstar.
James Krapfel - Morningstar Inc., Research Division: So most of my questions have been asked already but just one question on future divestment opportunities and what potential you see for further areas to sell off some of your businesses to improve your overall business mix?
Patrick K. Decker: Sure. We've done a pretty exhaustive review of the businesses that we've got. The team has done a good job by the time that I was arriving early this year on mapping out the historical growth profile, the returns on capital of each one of the businesses, the incremental returns on capital, all the things that good allocators of capital look at when we're making investment decisions or divestiture decisions. And I would say other than the U.K. Valves business that we divested here recently, there's really nothing of any meaningful value there that I would say of size and scale that you should expect to hear from us on. I mean we'll continue to always take a hard look at some of the smaller businesses in the portfolio but there's nothing really there right now. I would say, right now we are very much focused on the acquisition side of the house.
Operator: Your final question is a follow-up from Brian Konigsberg of Vertical Partners.
Brian Konigsberg - Vertical Research Partners, LLC: Just 1 point of clarity. On Page 5, in a key performance drivers, you talk about volume price mix and other being 180 basis points headwind, yet in both the segments, both of those buckets are tailwinds in the quarter. Can you just explain the discrepancy between that? Am I just reading it incorrectly?
Michael T. Speetzen: I think the biggest part, Brian, is going to be the corporate cost. It's about $6 million, as I pointed out in my prepared remarks that puts us back at more of a typical run rate versus what was a very low level worth of spend last year.
Operator: At this time, there are no further questions. I'll now return the call to Patrick Decker for any additional or closing remarks.
Patrick K. Decker: Great. Well, thank you, everybody. I appreciate your -- we appreciate your continued interest in the company and in following us. Look forward to catching up with you in early February to discuss our fourth quarter results and provide our overview on 2015 outlook. So thank you, all and have a good day.
Operator: Thank you. This does conclude today's Xylem Third Quarter 2014 Earnings Conference Call. Please disconnect your lines at this time, and have a wonderful day.